Operator: Good afternoon. My name is Brandy and I will be your conference operator today. At this time, I would like to welcome everyone to the Vista Gold Second Quarter 2019 Financial Results Conference call. [Operator Instructions] Thank you. Ms. Pamela Solly, you may begin your conference.
Pamela Solly: Thank you, Brandy. Good afternoon, ladies and gentlemen and thank you for joining the Vista Gold Corp.’s second quarter 2019 financial results and corporate update conference call. I am Pamela Solly, Vice President of Investor Relations. On the call today is Fred Ernest, President and CEO and Doug Tobler, Chief Financial Officer. During the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause actual results, performance or achievements of Vista to be materially different from results, performance or achievements expressed or implied by such statements. Please refer to our most recently filed Form 10-Q for more information about risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I will now turn the call over to Fred Earnest.
Fred Earnest: Thank you, Pam. I would like to begin by acknowledging the contributions of Jack Engele during his tenure as Vista’s CFO and welcome Doug Tobler as Vista’s new CFO. Doug joined the company on July 1 following Jack Engele’s retirement as Senior Vice President and Chief Financial Officer. Jack was a key member of our senior executive team for more than 6 years, providing us with exceptional financial leadership on many initiatives. On behalf of the Board of Directors and management, I would like to thank Jack for his many valuable contributions and wish him well in his retirement. For the information of those on the call, Doug brings with him more than 35 years of corporate financial management experience gained as a chief financial officer, CPA and corporate adviser. He has extensive experience with growth-stage resource companies, including most recently as CFO of Lydian International. Prior to that, Doug was CFO of Alacer Gold Corp. through its period of late-stage exploration mine development and early stage – and rather early years of operations of the Çöpler Gold Mine in Turkey. While a CPA and adviser, Doug assisted numerous mining clients with strategic, financial and corporate accounting objectives. At this time, I would like to discuss briefly a few of our highlights from the second quarter. We’re extremely pleased with the progress and results of our ongoing metallurgical optimization program. Since our last call in May, our primary focus has been on completing this test work and compiling the results. We also commenced work to update the 2018 preliminary feasibility study for our Mt. Todd gold project. Some of the metallurgical testing program data has been coming in slower than we had hoped, but we like what we see today. Once fully received, we will incorporate the comprehensive results, along with the current economic parameters, into an updated PFS anticipated for completion later this quarter. As part of our technical program, we retained independent consultants to review the fine grinding circuit and performed an independent benchmarking study for our own internal use, which we expect will complement the upcoming PFS. We continue to work closely with the Northern Territory’s Department of Mines during its review of our Mine Management Plan. I will discuss these topics in greater detail later in the call, but I will now turn the time over to Doug Tobler for a review of our financial results for the quarter ended June 30, 2019.
Doug Tobler: Thanks, Fred. It’s good to be here and it’s also good to be part of the Vista organization. And for those on the call, thank you for joining. We appreciate your time today. As with the technical programs, we had a good financial quarter and first half of 2019. Vista continues to maintain a solid working capital position and utilizes our non-dilutive sources of funding to advance Mt. Todd. If you will turn to the balance sheet, I will explain this in more detail. Working capital reflects the difference between our current assets and our current liabilities. At June 30, our working capital was $9.6 million. Importantly, this included highly liquid cash and U.S. treasury securities of $6.3 million. We held $8 million of these same assets at year-end. So, our year-to-date net expenditures through June 30, was $1.7 million. During this period, we benefited from lower spending during the first half of the year and that was mostly related to Mt. Todd holding cost. We saw an inflow of $1.7 million from the Guadalupe de los Reyes as option holder. And of course, there was a stronger U.S. dollar during that period compared to last year. We did see an impact on our working capital as our holdings in Midas Gold were mark to market. This was accentuated just prior to the end of the second quarter, because Midas took the opportunity to strengthen its own balance sheet by completing an equity offering. This commonly results in a temporary decrease in share price. Unfortunately, Midas’ share price since June 30 rebounded by 12.5% in the month of July. As a closing note on the balance sheet, Vista remains debt free at June 30. The two non-current liabilities shown on our balance sheet reflect U.S. GAAP accounting [indiscernible] this quarter as a deferred gain of $1.4 million. This reflects cash received from the Guadalupe de los Reyes option holder, which was in excess of our cost basis. As noted earlier, this year, we received $1.7 million in cash, but the accounting gain to our income statement will be deferred until control is transferred to the option holder or the property has returned to Vista. We also show a small non-current liability for leased assets, which is for our offering our day-to-day business. I will now turn to the income statement for a few brief comments on that section. We reported a net loss for the quarter ended June 30 of $3 million. This compares to last year’s second quarter loss of $1.9 million. Operating expenses were consistent period-over-period, with the majority of the difference resulting from the decline in the value of the Midas shares, which I discussed previously. And for the 6 months ended June 30, our net loss was $5.7 million, which compared to $2.9 million for the same period last year. And this year, our operating expenses were down $1 million, again having benefited from lower water management and monitoring cost at Mt. Todd and an 8% stronger U.S. dollar versus the Australian dollar. Offsetting the operating expenses and accounting for the majority of the difference in the year-over-year loss was the swing in value of our holdings in Midas. Last year, the Midas Gold shares caused a $2 million gain as Midas share value increased, and the net gain largely reversed this year. I would like to close today’s financial discussion with a few words about the outlook for the balance of this year and into next year. Overall, Vista’s spending controls remain strong and costs on a recurring nature are going to be consistent for the remainder of 2018. Our discretionary spending for the latter half of 2018 will likely increase as we wrap up the new PFS. This is expected and has been internally budgeted, so we’re not expecting any surprises. As to the longer horizon, we believe our existing working capital, which is comprised mostly of cash, the government securities and the Midas shares, will be sufficient to fully fund our currently planned corporate expenses, our project holding costs and our discretionary programs for more than the next 12 months. And of course, we also have other non-dilutive sources of financing that may convert into working capital. These include the likes of our used mill equipment, future option payments from the Guadalupe de los Reyes project and the possible monetization of other royalty interest. So with that, I will turn the call back over to Fred.
Fred Earnest: Thank you, Doug. Let me first begin by providing an update on the metallurgical testing program. Metallurgical test work at Vista’s Mt. Todd gold project continued throughout the second quarter. In May of this year, we announced the initial results from metallurgical test being conducted on material from the Batman deposit. Leach tests on material with an 80% passing grind size of approximately 50 microns achieved average gold recoveries of 92.7%, a 6 percentage point improvement from the average gold recoveries reported in our January 2018 preliminary feasibility study. Gold recoveries at coarser grind sizes were consistent with previous test results on similarly sized material. Additional leach test work is nearing completion, and final results are expected in the coming weeks. We anticipate the final results of our fine grinding and leach tests – leaching tests will achieve average gold recoveries in the low 90% range, reflecting a significant improvement compared to the results reported in the January 2018 PFS. Analysis indicates that each 1% improvement in gold recoveries could add approximately 0.5% to Mt. Todd’s after-tax IRR and approximately $25 million to the after-tax NPV. Upon conclusion of the metallurgical optimization program, comprehensive results will be incorporated into an updated Mt. Todd PFS, anticipated for completion later this quarter. In addition to the improvements in gold recovery resulting from a finer grind size, the U.S. dollar/Australian dollar foreign exchange rate has changed favorable to the project since January 2018. As approximately 65% of the capital and operating costs will be denominated in Australian dollars, this is expected to have a significant positive impact on project economics and will be included in the updated project economics. Let me talk about the benchmarking study and the review of the fine grinding circuit next. As we come to the conclusion of the comprehensive metallurgical optimization program, we have engaged independent consultants to review the fine grinding circuit and to complete an independent benchmarking study of our capital and operating costs, preproduction and ramp-up schedule and staffing requirements. These studies are for our internal use and have been commissioned to provide assurance that our inputs and assumptions are reasonable and that our schedules are practical. Next, let me provide an update on permitting. We submitted the Mt. Todd project Mine Management Plan, which is the equivalent of a mine operating permit in North America, to the Northern Territory Department of Mines in November of 2018, and the review is ongoing. We expect to receive authorization of the Mine Management Plan by year-end. Once approved, Vista will hold all major permits for the Mt. Todd project. So looking forward, the final results of our metallurgical test work are expected to be released in the coming weeks. We believe these results will clearly demonstrate the value-accretive nature of the optimization program started last year. These results, along with the independent review of the fine grinding and input from the ongoing benchmarking study, will then be incorporated into a comprehensive preliminary feasibility study update, which we expect to announce later this quarter. With the upcoming conclusion of our project optimization programs, we are encouraged by the value opportunities that Mt. Todd represents for Vista and for its shareholders. That said it is important to recognize that the current valuations ascribed to Mt. Todd makes it impractical, and we have no intention to undertake a development plan or other potential alternatives that do not reward our shareholders for the underlying value of this asset. Our actions over the past several years demonstrate our commitment to creating, enhancing and preserving the value of Mt. Todd for our shareholders first. As we move forward, the upcoming preliminary feasibility study will greatly assist us as we continue to focus on achieving a valuation for Mt. Todd that is wanted for a multimillion-ounce gold deposit in Australia’s low-risk Northern Territory. This project has favorable costs and robust project economics and environmental permits in hand. We believe that these factors, coupled with the technically advanced stage of the project and excellent infrastructure, place Mt. Todd on the short list of the most attractive development stage gold projects. It’s our expectation that we can build on this to justify a greater appreciation from our industry peers and the investment community. Let me talk now for a moment about share price performance. Year-to-date, Vista’s share price is up over 79%. As we’ve mentioned in previous calls, Vista is highly leveraged to the price of gold, and we understand the value of higher gold prices as it relates to project economics. Since November 13, when the gold price broke out of its horizontal trend, to August 5, the gold price has improved by approximately 20% while Vista’s share price has improved by 115%. This is 5.3x the improvement in the price of gold on a percentage basis. This is real leverage. This compares to the value of the GDXJ improving 2.6x relative to the improvement in the price of gold. We believe that the ongoing optimization work will further enhance the leverage Vista’s shareholders enjoy relative to the price of gold. In conclusion, our Mt. Todd gold project is the largest single deposit undeveloped gold project in Australia. With 5.85 million ounces of proven and probable reserves, Vista controls the third largest reserve package in Australia. It is ideally located in the Northern Territory of Australia with paved roads to the site and other existing infrastructures, such as power lines, a natural gas pipeline, freshwater storage reservoir and tailings [incumbent] facility. The project improvements we have discussed today, along with our estimated reserve and production profiles, have created the foundation for the leverage to gold price and improved shareholder value that we have seen over the last 6 months. We believe Vista’s leverage to the gold price demonstrates that Mt. Todd would be an extremely attractive gold project even in a lower gold price environment. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We worked hard to secure the authorization of the environmental permits and are now focused on gaining the authorization of the Mine Management Plan. We’re excited about the results of the ongoing optimization programs and look forward to the announcement of updated technical and economic results in the coming weeks. We believe the initial results, as described earlier, demonstrate that Mt. Todd has the potential to become a major new gold producer in Australia. For a more comprehensive assessment of the value accorded to Vista in the Mt. Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. We believe that Vista Gold represents an exceptional investment opportunity for the gold investor looking for value, growth potential, low geopolitical exposure and leverage to the gold price. That concludes our prepared remarks. We will now respond to any questions from participants on this call.
Operator: [Operator Instructions] Your first question comes from the line of Heiko Ihle with H.C. Wainwright.
Heiko Ihle: Hey guys. Thanks for taking my questions.
Doug Tobler: Heiko, how are you?
Heiko Ihle: Good, good. I just want to congratulate Doug on his appointment. And Jack, thank you for all your hard work with the company over the years. It’s been quite a pleasure working with you, and you’ll be missed. I was going through the 10-Q earlier today. And Doug sort of talked about this in the intro for this call, but on the balance sheet. And the one thing that was sort of mentally missing for me in the prepared remarks, and I’m just really thinking out loud here, if you take out Midas, your "cash and short-term investments" went from $8.1 million on 12/31 to $6.324 million today. Now that’s essentially a burn of $1.74 million for 6 months, annualized at $3.5 million. Given that you’re, and these are your words, nearing completion of leach test work, how should we be looking into this burn rate for the rest of the year and, if possible, maybe even by quarter?
Doug Tobler: Sure. So as I mentioned on the call previously, our fixed costs, which would be our corporate costs and our holding costs for Mt. Todd these costs will trend consistently with what you’ve seen in the previous quarters. What we would expect would be a slight balloon during the third quarter, and that would be in the neighborhood of $0.5 million to maybe $1 million as we wrap up the studies. And then you’ll see some of those costs continue to lag in – during the early half of the fourth quarter.
Heiko Ihle: Okay. So call it 60-40, Q3 and Q4?
Doug Tobler: Around probably 70-30.
Heiko Ihle: 70-30. Okay, very helpful. Thank you. And then this question is quite a bit more philosophical. I mean I did some preliminary modeling on the higher recoveries based on all the work that you guys have done and just doing like mental exercises. And frankly, the effects on our internal model from the changes are quite staggering, and that probably goes in line with the share price increasing substantially more than the GDXJ that you were discussing earlier. I mean the mine looks to be quite profitable, and that’s using a much lower spot price because that’s just what we use in our price deck. And again, it’s probably more philosophical, but over the next 5 to 10 years, what kind of technology or other improvements do you or your consultants see that may actually improve mining methods at Mt. Todd even more, if any? And if so, like can you just maybe provide a little bit of color of once the leach testing is completed, what the next focus is going to be, if anything?
Fred Earnest: That’s a great question, Heiko. Your observations are very astute. As we announced the results of the PFS, we will, like you in your model, be using a gold price that’s conservative to what the gold price is today. And we, like you, have seen some very, to use your word, staggering results as we look at the results and the impact that the testing programs have had as well as the changes in foreign exchange rates. And that leads us to be very, very optimistic, and we’re very satisfied with the results of these programs. You asked what could possibly change technologically as we look forward to the next 5, 10 years with regards to the mining. And I’m going to add to that the processing. You’re well aware that – of our endeavors on the processing side to incorporate technological advances that are widely accepted and well proven in the industry. Specifically, we’ve adopted the use of high-pressure grinding roll crushers. We have – we’ve implemented ore sorting, which 10 years, 15 years ago, these were things that were just starting to be tried and implemented on a larger scale in the industry. Today, they’re being implemented and used on a more wide basis. We’ve adopted fine grinding technology that others have been using for the last 10 years as well. These have resulted in the improvements in the grinding circuit. On the mining side, one of the things that we’re seeing more – being used more and more widely in Australia specifically is the use of autonomous mining fleets, specifically call trucks without operators in them. The pit at Mt. Todd has been designed in a way that the ramps will be long term on the east side of the pit. They’ll not be moving the waste rock that grows, but it’s not being moved. And so those are characteristics that as we look at possible improvements down the road, that as the Australian miners gain more and more experience with autonomous mining equipment, haulage equipment, that’s one area that may allow us to achieve some important economies and cost reductions. You are fully aware and those listening on the call will be aware that labor costs are a very important part of the mining costs for any operation. And when autonomous haulage first commenced, we were seeing the numbers being almost unchanged, and it took just as many support people as we used to have in operators. Now with more experience and the technology being refined, we’re seeing actual reductions in the amount of operating labor that’s required on the mining side with the implementation of autonomous haulage fleets. And so that will be one area that we’ll be looking at. We will continue to evaluate potential opportunities to de-risk Mt. Todd and there’s things that are – it’d be premature to discuss our thoughts and ideas, but there are potentially some things that we could do to demonstrate the technology and to grow the level of confidence people have in the decisions that have been made. I think one thing that’s important to point out is that at Mt. Todd we have a very significant exploration package, with over 1,100 square kilometers of land contiguous to the mining licenses, that we have, as we’ve stated before, simply not extended the effort or the energy or the money to begin a comprehensive exploration program. And that might be one thing that we would look at in the future. Our exploration budget this year has been very modest. We’ve been focused on the continued grassroots efforts to map and identify potential targets, at the same time that we’re preparing a – and compiling a comprehensive and easy-to-use database of what we already know about the exploration license. And so that’s another area that could potentially yield results in the future, Heiko.
Heiko Ihle: I got to tell you. This was a much, much, much more comprehensive answer than I thought I was going to get on this call, and I think me and everybody else on this phone call appreciates the color. And it shows that there is a longer-term game plan going on as well, so thank you for that. And I will get back in queue.
Fred Earnest: Okay, pretty good. Thanks, Heiko.
Operator: I would now like to turn the call back over to Mr. Fred Earnest for closing remarks. Sir, please go ahead.
Fred Earnest: Thank you, Brandy. Again, we would like to thank everyone who’s taken time to be on the call with us today. We are very excited about what’s happening, the results that we’ve seen thus far. We are looking forward to the coming weeks and months as we wrap up the testing program and complete the final work on the update of the preliminary feasibility study. I would invite all who are on the call and who subsequently listened to this call to keep an eye on the news flow and to be attentive to the announcements that will come. We look forward to being able to report results that are substantiated by a significant amount of test work and engineering. I think that everyone will be very pleasantly surprised by the change in the results as a result of the improved recovery and the changes in foreign exchange rates. As I stated previously, we will be using a slightly conservative gold price, but we will be providing sensitivity analysis that will help you understand the value of the project at today’s current gold price, which we think is very exciting. With that, I will simply close the call and thank all of you for your participation and for your interest and wish you all a very pleasant day.
Operator: This concludes today’s conference call. You may now disconnect.